Operator: Good morning, ladies and gentlemen, and welcome to the SECURE Q3 2024 Results Conference Call. At this time, all lines are in listen only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Wednesday, October 30, 2024. I would now like to turn the conference over to Alison Prokop. Please go ahead.
Alison Prokop: Thank you, and good morning to everyone who is listening to the call. Welcome to SECURE’s conference call for the third quarter of 2024. Joining me on the call today is Allen Gransch, our President and Chief Executive Officer; Chad Magus, our Chief Financial Officer; and Corey Higham, our Chief Operating Officer. During the call today, we will make forward looking statements related to future performance, and we will refer to certain financial measures and ratios that do not have any standardized meaning prescribed by GAAP and may not be comparable to similar financial measures or ratios disclosed by other companies. The forward-looking statements reflect the current views of SECURE with respect to future events and are based on certain key expectations and assumptions considered reasonable by SECURE. This forward-looking information addresses future events and conditions. By their very nature, they involve inherent assumptions, risks and uncertainties, and actual results may differ materially from those anticipated due to numerous factors and risks. Please refer to our continuous disclosure documents available on SEDAR Plus as they identify risk factors applicable to secure factors which may cause actual results to differ materially from any forward-looking statements and identify and define our non-GAAP measures. Today, we will review our financial and operational results for the third quarter of 2024. I will now turn the call over to Allen.
Allen Gransch: Thank you, Alison, and good morning, everyone. Yesterday, our shareholders voted in favor of our name change to Secure Waste Infrastructure Corp, a name that better aligns with our core business activities, which are centered on processing, recovery, recycle and disposal of diverse waste streams and the efficient operation of our critical infrastructure network. The new name reflects our strategic transformation over the last five years from a full service energy service company to a specialized waste management and energy infrastructure provider. We are pleased to retain the trade name SECURE, a brand synonymous with safety, reliability and entrepreneurship. The formal adoption of the new name is expected on January 1, 2025 coinciding with certain year-end activities planned by the corporation. Our shares will continue to trade on the Toronto Stock Exchange under the ticker symbol, SEF. This morning, we reported another strong quarter achieving adjusted EBITDA of $127 million or $0.53 per basic share on the high end of our expected range for the third quarter as a robust industry fundamentals drove strong customer demand. Sequentially from the second quarter, net revenue and adjusted EBITDA increased 11% maintaining our strong 34% EBITDA margin. As we head into the final quarter of the year, we are reaffirming our guidance at the top end of this range providing for full-year adjusted EBITDA of $470 million to $490 million. This quarter we generated $106 million in funds from operations enabling us to fund fully self fund share repurchases, dividend payouts and growth initiatives. In total returned $77 million to shareholders through repurchases under normal course issuer bid and our quarterly dividend of $0.10 per share. We also advanced our organic growth capital program spending $19 million primarily to add two water pipelines to an existing facility to integrate incremental volumes from existing customers. We also continue to enhance our capacity at the Clearwater heavy oil terminal to meet growing demand in the region and pursue various optimization projects to reduce costs across our waste network. At September 30, 2024, our total debt-to-adjusted EBITDA ratio was 1.1 times, a full turn below our target leverage ratio of 2 to 2.5 times, providing us with significant financial flexibility. Along with strong discretionary free cash flow, we’re well positioned to continue to grow the business while delivering enhanced shareholder returns. Looking ahead, we have a robust pipeline of organic growth opportunities and we will also consider strategic acquisitions that align with our disciplined approach to enhancing efficiencies, expanding network density and diversifying the waste streams we manage. While we’ve seen positive momentum in our stock recently, we still trade at a substantial discount to our waste and energy infrastructure peers. Consequently, share buybacks remain key priority of our near-term capital allocation. We have 2.1 million shares remaining under our current normal course issuer bid and we intend to renew this program in mid-December, allowing us to repurchase up to 10% of the public float over the subsequent 12 month period. I’ll now pass it over to Chad to provide some further financial highlights for the quarter.
Chad Magus: Thanks, Allen, and good morning, everyone. The divestiture of 29 facilities to Waste Connections in February of this year, along with the sale of a non-core oilfield service business unit in late 2023 naturally impacted our financial metrics on an absolute basis compared to the third quarter of 2023. This impact was partially mitigated by strong customer demand, increased pricing and contributions from capital investments made since the third quarter of 2023. Additionally, as a result of strategic share buybacks over the past year, our weighted average shares outstanding in the third quarter decreased by 18% over the same period last year. This reduction enhanced many of our financial metrics on a per share basis, reflecting the benefits of our capital return strategy. Net revenue for the quarter was $374 million a 12% decrease year-over-year, primarily due to the divestitures. However, this was largely offset by several positive factors. Higher volumes at our remaining facilities, pricing increases on volume based processing and disposal, growing demand for specialty chemicals and contributions from the Clearwater heavy oil terminal, which began operations in late 2023 and has continued to increase throughout 2024. We reported net income of $94 million or $0.39 per basic share, an increase of $47 million or 100% compared to Q3 2023. While the sale of the facilities impacted operating profit, income before tax was $2 million higher, driven by significant reductions in interest accretion and financing costs as proceeds from divestitures were used to repay $543 million of higher interest debt, replacing it with a new $300 million issuance of 6.75% senior unsecured notes in the first quarter of 2024. We recorded a one-time $30 million tax recovery this quarter, driven by revisions in the underlying assumptions with respect to the tax treatment of the divestitures. As a result, we now anticipate approximately $30 million of current taxes in 2024, increasing to approximately $60 million to $70 million in 2025. Our adjusted EBITDA for the quarter was $127 million, a 20% decrease from Q3 2023 due to the same factors impacting revenue. However, on a per share basis, adjusted EBITDA was only down $0.01 demonstrating the positive effect of our share buybacks. The adjusted EBITDA margin for the quarter was 34%, down from 37% in the same period last year due to the divested facilities. 34% remains a strong industry leading margin, reflecting our disciplined focus on efficiency and profitability as consistent with our most recent second quarter margin. We generated $106 million in funds from operations, a decline of 18% year-over-year influenced by the same factors previously noted, along with the timing of fixed debt payments. We recorded discretionary free cash flow of $90 million, a 13% decrease from the third quarter of 2023 as a result of factors above, partially offset by reduced spending on sustained capital due to fewer facilities following the divestitures. However, the share buybacks drove an increase of 6% on a per share basis. We directed discretionary free cash flow in the quarter to shareholder returns and business growth as we continue to allocate capital where we can generate the highest return for our shareholders. We incurred $53 million to repurchase another 2% of our shares in the quarter at a weighted average price of $11.83 per share, a level we believe remains significantly below the intrinsic value of the corporation. At September 30, 2024 in addition to the $300 million of fixed debt held, we had drawn $93 million on our $800 million revolving credit facility, leaving us with significant capacity and ample liquidity. This positions us well to fund future growth initiatives, continue returning value to shareholders and maintain maximum financial flexibility for capital allocation over the coming years. I’ll now turn it over to Corey to provide some operational highlights from the third quarter.
Corey Higham: Thanks, Chad. During the quarter, our facilities handle on average 93,000 barrels of produced water per day and 43,000 barrels of slurry waste and emulsion. Through our processes, we were able to recover over 296,000 barrels of oil from waste. Across our landfill network, we safely disposed a record 1.2 million tons of contaminated solid waste in the quarter as higher volumes were driven by increased remediation and reclamation project work. Ferrous metal volumes recycled increased 15% over the third quarter of 2023 due to the acquisition made in the second quarter expanding our operations into Saskatchewan along with the continued strong demand for recycled metal driving higher throughput at our remaining facilities. In our energy infrastructure segment, crude oil and condensate terminalling and pipeline volumes averaged 130,000 barrels per day in the third quarter, a 24% increase from the same period in 2023, driven by the addition of the Clearwater heavy oil terminal, which commenced operations in the fourth quarter of 2023 and approximately doubled capacity in the second quarter of 2024. In the year-to-date, we have spent $41 million of our $75 million growth capital plan for 2024, which primarily related to the expansion of our Clearwater heavy oil terminal to increase capacity and two water pipelines to safely transport and facilitate the disposal of incremental production volumes for our customers. Major growth projects are backstopped by new commercial agreements providing reliable volumes and recurring cash flows over the life of the contract. We also purchased 50 railcars, increasing the efficiency of our metal recycling logistics and distribution operations and completed several optimization projects across our waste network. The remaining $34 million of growth capital expected for 2024 will be primarily spent on further expanding our Phase 3 of the Clearwater heavy oil terminal and gathering infrastructure for incremental clean heavy oil delivery and adding treating capabilities for trucking emulsion volumes. Reopening a suspended industrial waste processing facility located north of Edmonton to support demand in the area. Capital expenditures required include replacing and upgrading critical infrastructure and restarting the facility operations and pre spending on various long lead equipment, critical equipment associated with 2025 capital plants. We continue to expect to spend approximately $60 million on sustaining capital in 2024, which includes expansions of landfills that are nearing capacity. We’re currently working through our capital plans for 2025 and expect to provide preliminary guidance for 2025 in December of this year. SECURE’s strategic purpose is transforming waste into value. We are committed to being a trusted partner for our customers and other stakeholders, providing solutions that safely manage environmental liabilities, minimize costs, environmental impacts and create new opportunities for resource development, recovery and reuse. These commitments around safety and environmental stewardship extend to our own operations as well. We have made good progress this year across the ESG objectives established in our 2023 sustainability report published in May of this year. Notably, we are advancing many safety initiatives that are improving and already strong safety culture across our business units. Our operations personnel continue to implement the grassroots ideas for the reduction of freshwater consumption in our day-to-day operations. And as a result, our first at 2024 first half freshwater consumption is down 6% from the same period in 2023. We are also pleased to complete the partnership accreditation in indigenous relation certification receiving bronze by the Canadian Council for Indigenous Business. Finally, we are on track to spend approximately $15 million on settling secures abandonment retirement obligations this year, exceeding minimum spend targets. Included in this figure are two stage landfill caps and investment to reduce leachate generation and proactively respond to climate change modeling. I’ll now turn it over to Allen for some concluding remarks before we open it up to questions.
Allen Gransch: Thanks, Corey. Our strong results year-to-date along with positive market dynamics expected for the remainder of the year and beyond reinforce the strength of our business. Our critical infrastructure network continues to generate stable and reoccurring cash flows and is well positioned to benefit from multiple growth drivers. Increasing industrial and production activity is leading to higher volumes that require processing, recycling and disposal across our facility network. Our waste processing facility are operating at 60% to 65% utilization, providing us with ample capacity to accommodate growing customer demand with minimal additional costs. We also have a robust pipeline of opportunities to deploy growth capital including both brownfield expansion and greenfield projects to support our customers in regions where production growth is outpacing the available processing and disposal capacity. We plan to secure these investments with commercial agreements that offer contracted volumes and reoccurring cash flows ensuring a minimum rate of return on our investments. We will also continue to look at smaller scale acquisitions such as the metal business acquired in the second quarter of this year that align with our core business segments and competencies further enhancing our ability to grow our network and cash flows. With a strong balance sheet, ample capacity on our revolving credit facility and significant financial flexibility with our September 30 total debt to trailing 12 month pro form EBITDA at 1.1 times, we are well positioned to capitalize on these growth opportunities, solidifying our leadership in waste management and energy infrastructure while continuing to deliver enhanced shareholder returns. Since initiating our share buyback program in late 2022, we have reduced our outstanding shares by 24%, underscoring our commitment to creating value for shareholders and our belief in a significant undervaluation of the business. We continue to see a large gap between our market valuation and the value of our underlying business driven by our critical infrastructure network providing stable reoccurring cash flows, strong growth opportunities across both our waste management and energy infrastructure segments, a robust balance sheet and flexible capital allocation strategy and a large valuation gap between secure and our waste and energy infrastructure peers despite the strong parallels between our businesses. We are actively working to address this valuation disparity and we are starting to see positive momentum. In addition to share buybacks, our upcoming name change to Secure Waste Infrastructure Corp, management presentations at key waste and industrial conferences, new research coverage and changes to industry classifications are all contributing positively to our share price. However, SECURE continues to trade at a significant discount to our peers and as a result, share repurchases will remain a key component of our capital allocation strategy moving forward. With that in mind, the Board of Directors has decided to maintain our dividend at $0.40 per share on an annualized basis, which represents an aggregate payout of $95 million based on our current shares outstanding. In closing, I’d like to thank you for your continued support. We are excited about the road ahead as we continue to remain focused on executing our strategy and driving long-term success. That concludes our prepared remarks. We are now happy to take your questions.
Operator: Thank you. [Operator Instructions]. Your first question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks. Good morning and congrats on a good quarter. Just wanted to ask you on the volume side first maybe. It’s difficult to kind of see the underlying volume trend given the transactions you have had in the last two years or so. So, if you can help us understand how these underlying volumes trended in the Waste Management segment, especially for water, waste and oil recovery?
Allen Gransch: Thanks, Konark, and good morning. Yes, I think when we look at our produced water volumes, our emulsion volumes within our waste processing facilities, I would say it correlated very closely to production growth, call it in that 2% to 3% on a pro form basis. We saw significant increase in our volumes from our landfills. I think Corey had mentioned 1.2 million tons were put into our landfills in the quarter. And I think part of that volume increase was driven by the fact that there was a lot of wildfires in 2023. So, a lot of that cleanup work that is now mandated both in Alberta and in Saskatchewan to force a lot of our customers to clean up some of their asset retirement obligation. I think that’s starting to take fruition. So, we saw significant volumes in our landfills and you can see that even with the divestment of five landfills, we were still up on a quarter-by-quarter basis, which really speaks to the strength in tons on the waste processing assets and that critical infrastructure. I think moving into the terminalling side, you saw a significant increase that would have been, primarily as a result of the Clearwater terminal up in Nipisi. We’re upwards of 60,000 barrels a day on that pipeline. And as we complete our, phase 3 here at the end of call it end of Q4 early Q1, we’ll move up into that 70,000 barrels per day just for that Clearwater system alone. So, I think on a pro form a basis, it’ll become a lot clearer as we get post Q1 next year. But, yes, I would say very strong performance on our volumes, which is reflective of the strength in EBITDA in Q3 and why the performance was so strong.
Konark Gupta: That’s helpful. Thanks. And then on the pricing side, I think there was some note in the MD&A about 5% pricing growth you implemented in Q4 of last year. Any indications on where pricing is trending in the current context? What do you expect for the upcoming cycle?
Chad Magus: Yes. On pricing, I mean, we’re all cognizant of cost structures increasing across the network. I think we’ve seen, we’ve seen inflationary, charges on electricity, chemicals, salary and wages. And so last Q4 2023 we raised prices by 5%. We have done that again here in Q4 starting. It will be fully implemented by the end of the year. We started having discussions with our customers in Q3 and obviously they’re cognizant of their own cost structure going up very similar to ours. And so, we have raised prices. I think as we think about 2025 and just the overall environment, we’re still seeing a lot of pressure on inflationary costs. So, I would expect we’ll continue to take a look at pricing and make sure that our services and our infrastructure and what we do is priced accordingly. If you look at our margins, part of our ability to manage price and cost is indicative in our margins and on a pro form a basis. If you look at Q3 last year, they were 34% once adjusted for the sale of those assets and we’re now 34% again here in the third quarter. So, I think we’re doing a good job on managing prices and I think our customers are understanding of where cost structure is going and what needs to occur within Western Canada.
Konark Gupta: Great. And last one for me before turnover. On the capital allocation side, maybe it’s more of a strategic question. If I look at your balance sheet and let’s say you want to go to like 2.5 tons of EBITDA, that gives you about $700 million of excess capital, that you can deploy today without increasing your EBITDA, obviously. That’s a lot for buybacks clearly, and I know you are doing buybacks in the short term. But, what’s the best sort of pin to allocating that $700 million of cash available for M&A for buybacks or something else?
Chad Magus: So, yes, I mean, we talked about capital allocation every quarter with the board. I think we did that substantial buyback in the second quarter and I think year to date we bought back 18%. So, significant amount of share buybacks. We think that is the best return, to our shareholders, from a capital return standpoint, which is why we’ve been so aggressive this year. I mean, when we think about our growth capital, we’re at about $75 million. A lot of these projects on these brownfield opportunities are helping our customers more efficiently get their water and waste into our facilities. We do we will come out in December and announce our 2025 guidance along with our capital spend and that will be part of our capital allocation program as we think about it. We came out and said we’re going to maintain the dividend. I think at our current yield, we’re all quite comfortable where the dividend is at. But I think, and then on the M&A side, I think we’ve had the strategy of tuck ins in our core competencies in our core business segments and you saw us do that with the [BN] (ph) acquisition there in the second quarter. So, I think every quarter we’re going to continue to look. I mean, we’re going to reinstate our NCIB here in December, which will allow us another 10% of buybacks through 2025. We’ve continually stated, we’re undervalued and that is a good return of capital to our shareholders. So, I think it’s a quarter-by-quarter discussion on whether or not as we get into 2025 that we want to do another meaningful SIB. I think you’re pointing out something that’s quite obvious. Our balance sheet is very clean. It gives us a lot of flexibility to pull these levers when we believe it’s the right time to do so. So, I think that flexibility gives us that optionality on buying back our stock, our organic opportunities and that M&A as well. So, yes, I said I would say that NCIB would be the area we’re probably going to focus on first, but, it is an ongoing discussion as we think about the undervaluation of the business currently.
Konark Gupta: Yes. That’s great. Appreciate the time.
Operator: The next question is from Keith Mackey. Please go ahead.
Keith Mackey: Hi, good morning. So, I heard the increase in volumes loud and clear. Certainly, Western Canada has been seeing more oil, water, waste volumes, all of the above the last little while. Just curious if you can talk a little bit more about the customer trends, whether they’re more willing now to outsource volumes for things versus in source volumes for things as the overall waste and water volumes grow. Just what trends are you seeing on that front?
Allen Gransch: Good morning, Keith. Thanks for the question. Yes, I think, our customers look at capital allocation the way we do, what’s the best return to their shareholders. I think you’ve seen a lot of our customers buying back their stock and special dividends, etcetera. I think when they think about waste and managing water, I think they look at our footprint, and how close we are to their existing production. And I stated that we’re 60% to 65% utilization. That infrastructure should be utilized first. That obviously gives that producer that ability to send that volume to us. But I would say the overall trend here and specifically on water and water management, I think we’re getting less access to fresh water. A lot of our customers are using produced water to complete their wells as they bring them on production. And as they’re doing that, you know, the production water is just it has a lot more chemistry involved with it as they complete the wells and open up some of the reservoirs. And as the water complexity gets harder to deal with, that’s our expertise. They look at us and say you understand how to filter, how to process mechanically, put it in a position where you’re filtering it, to get it into that late the disposal aspect of it. So, I think the trend we’ll see is they’ll use more produced water, in some of their operations, but we’re going to see a lot more of it come into our facilities as we think about how hard it is to manage and process it. And I don’t know, Corey, is there any point I’ve missed on that?
Corey Higham: No, it’s really status quo from how they look at it. I think the other piece to that because of the complexity in this water, it’s a tailwind for our Specialty Chemicals business because we utilize a lot of the chemicals that we produce in our own business as well help our customers to streamline their production and the waste that they manage on a daily basis.
Keith Mackey: Got it. No, that’s helpful. And I know you’re planning on giving the 2025 guidance in December, but certainly try to at least help frame it up as best as we can now while we’re here. But essentially the way we thought about 2025 from a growth perspective is roughly similar to maybe how this year is between that $50 million to $100 million growth CapEx number within your large opportunity set. Can you maybe just talk a little bit more about the opportunity set and what you’re thinking as far as growth whether things might differ from how they were this year?
Allen Gransch: So, when I think about activity levels and the activity specific to 2024, I do see a very similar 2025. I think a lot of our customers are going through their own budgeting processes right now. But I would say I would agree with you. I think activity levels will be similar. I do think we benefit from our same-store sales growth. I think, you know, we’ve seen volume growth just because that’s production water, as well continued to produce. Our production water continues to rise in that call it 4% to 5% on water specifically. So, I do see our volumes continuing to grow into 2025. In terms of a capital spend, we’re not going to announce capital projects until we do have signed contracts. And a lot of the pipeline of opportunities I would characterize it as brownfield expansion where we’re adding pipeline volume to some of our existing network. We do have some greenfield opportunities on the waste processing side. And speaking to your point about outsourcing, I think customers recognize, that’s our expertise. They want to outsource. We will put in greenfield infrastructure. So, we do have some of those opportunities as well. But we will announce those as we get those contracts completed. And so that will happen throughout the year. We’ll provide initial, capital spend guidance in December to allow you to kind of put that into your numbers. A lot of the times as we start developing the infrastructure and put it online, it’ll be more of a back half of 2025 EBITDA contribution, if not 2026 EBITDA contribution as we think about it. But the pipeline of opportunities is definitely quite robust right now when we think about the infrastructure and our infrastructure network.
Keith Mackey: Okay. That’s helpful. Thanks very much.
Operator: The next question is from Jamie Somerville. Please go ahead.
Jamie Somerville: Good morning. Thanks. So, growth CapEx, I think it was always going to be heavily weighted to the end of the year, but you still got 45% of your full-year guidance for $75 million to complete in the fourth quarter to match that guidance. Is there a risk of some of that being carried over into Q1? And have there been any delays to these projects? Was Phase 3 on the Clearwater terminal always plans to go into 2025? Yes, maybe we can start with that.
Allen Gransch: Good morning, Jamie. Yes, I think we’ve always talked about our Nipisi project and Phase 3 coming online late Q4 to early Q1. There really hasn’t been any delay on spending or timing, similar to our spend on our connecting of our two water pipelines within our lease processing infrastructure. That will come online as well. We do typically spend a lot of our capital call it in the fall and as we get to the end of the year our projections are and still remain that we will actually spend the $75 million as we get to the end of the year. But I would say all our projects are on time, on budget. There will be, there might be some even advanced spending as we think about 2025 on some long lead opportunities and some greenfield opportunities if we get them signed. I could provide more color around that in December because I’ll have more clarity. But, yes, no, it’s just really a function of timing. It’s just happening in the fall here as we approach the end of the year.
Jamie Somerville: Thank you. Makes sense. Related, so, yes, the throughput volumes for the energy infrastructure side look good, but in terms of quarter-over-quarter revenue and gross operating profit for the energy infrastructure business, it’s up from the prior quarter, down from Q1. I can’t remember if there’s anything you divested or reclassified. But despite the crude volumes transported showing a very positive trend, the vast majority of the EBITDA and cash flow growth this quarter seems to have come from the waste side. So, I guess my question is, was there something holding back revenue or margins for the Infrastructure business in the quarter?
Chad Magus: Jamie, good morning. It’s Chad here. Just thinking about, there was a portion of energy infrastructure that was divested. So those numbers did go down, as we sold the 29 facilities. However, we had a really strong Q2, Q3, as we had some storage profits there. We held some inventory at Hardisty and I’d say had irregular profits there that didn’t continue into Q3 and that would probably be the main reason for the delta.
Jamie Somerville: Okay, perfect. Thank you.
Operator: The next question comes from John Gibson. Please go ahead.
John Gibson: Thanks and congrats on a great quarter here. I just had one more on the landfill volumes uplift. Obviously, it was higher in Q3. It appears to be both drilling and cleanup related. Wondering the margins look like on your landfill volumes versus those that are more production oriented and ending this growth in landfill volumes continues? Could we see your margin shift higher into 2025?
Chad Magus: Yes. The margins are the same regardless of the waste type, whether it be a drilling related or remediation volume related. I think what we’re seeing from a volume growth perspective in Q3 and I think Allen mentioned it is really around the tailwinds around the liability management programs. So, typically Q3 and Q4 are the stronger months for remediation project work, just because the weather is a little easier and more amenable to some of these excavation projects that they work on. So no difference in margin between those types of ways.
John Gibson: Got it. I guess I should add this as well on here. You obviously maintained the dividend and you’re happy to do that and I agree with the valuation. But I guess depending your stock continues to perform as it has over the past little while, when could you start to think about potentially increasing that dividend a little bit?
Chad Magus: Yes, I think hey John, it’s Chad here. Just going back to what Allen said, like we do look at all of our capital allocation items quarter-by-quarter. So, we haven’t really I can’t tell you a price at which that changes, other than we’ve given the guidance for now of how we felt, just given where our valuation has been. And we’ll continue to update, hopefully as our valuation changes.
John Gibson: Fair enough. I had to ask, but fully appreciate the responses. I’ll turn it back.
Allen Gransch: Thanks, John.
Operator: Your next question comes from Jamie Somerville. Please go ahead.
Jamie Somerville: Thanks. Just a follow-up here. You’ve given high level guidance that 20% of EBITDA or cash flow is coming from cyclical drilling and completions CapEx. But kind of listening to some of the comments, I’m suspicious that you might be trending below that. Can you provide any color or thoughts as to how that number might change on a quarter-by-quarter basis?
Allen Gransch: Yes. I’m trying to understand your question. I mean, I think we’ve broken down our volumes and we have this in our investor presentation. The fact that we, when we think about drilling and completion volumes and volumes that I would even on the industrial side that were somewhat, cyclical, it represents about 20%. So, if you do see a decline in any sort of drilling or completion activity, there would be some minimal impact to it. But I’m not quite sure of your question like what maybe if you could provide a bit more color on it.
Jamie Somerville: Yes. I guess I’m asking, you’re saying that your business is at around that 20% level, and I’m just wondering whether you’re seeing that decline quarter-over-quarter. Like is there a chance that a year from now you’re actually at 15%?
Chad Magus: Yes. We’re constantly monitoring the volumes and where the volumes are coming from. I don’t see a decline in it. I think it’s been pretty consistent if we think about 2023 and 2024. And as I mentioned 2025 we think is going to be very similar. But I think as production gets brought on our production volumes continue to grow, our utilization will grow. We could get into a scenario where that does get reduced. I mean even by adding some of the, the metal recycling businesses that we did buy there in Q2, you’re getting more industrial residential markets as well that provide more stability and kind of that reoccurring nature. So over time as we grow, I believe that percentage will come down, but I’m not saying that’s going to be significant enough to mention kind of year-over-year.
Jamie Somerville: Okay. Thank you. Operator [Operator Instructions]. Our next question is from [William DeForest] (ph). Please go ahead.
Unidentified Analyst: Thanks guys. Just a quick one for me. I’m just thinking post U.S. election, are there any headwinds that are expected for the waste industry? And I know it’s outside of your core operating area, but just thinking M&A whether it be Republicans or Democrats getting in?
Allen Gransch: Yes. I mean I think when you look at the majority of our operations were in Western Canada. We do have some operations in North Dakota and the Bakken. I think, lot of the things we’ve talked about in the last year when I think about M&A opportunities, I’ve talked about in our core business segments and geographically remaining in Canada. I’m not sure, that will have any impact on what we see here in Western Canada, but I think, whether it’s positive or negative for the overall sector in North America, I think that’s yet to be determined. But I think for ourselves, I think we’re primarily focused in Western Canada.
Unidentified Analyst: Okay. Perfect. Thanks guys.
Operator: There are no further questions at this time. Please proceed with closing remarks.
Allen Gransch: Well, thanks everyone for being on the conference call today. A taped broadcast of the call will be available on SECURE’s website. We look forward to providing you with updates on SECURE’s performance, at the end of October after the completion -- at the end of February. Sorry. Thanks, everyone.
Operator: Thank you for participating. This concludes today’s conference. You may now disconnect.